Executives: Hannes Portmann – VP, Corporate Development Randall Oliphant – Executive Chairman and Director Robert Gallagher – President and CEO Brian Penny – EVP and CFO
Analyst: Andrew Quail – Goldman Sachs Rahul Paul – Canaccord Genuity Anita Soni – Credit Suisse Dan Rollins – RBC Capital Markets Don MacLean – Paradigm Capital Steve Parsons – National Bank Financial
Operator:  Good morning. My name is Sharon, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the New Gold First Quarter Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session (Operator Instructions) Thank you. Mr. Hannes Portmann, Vice President, Corporate Development, you may begin your conference.
Hannes Portmann: Thank you, Sharon, and good morning everyone. We appreciate you joining us today for the New Gold 2014 first quarter earnings results conference call and webcast. On the line today, we have Randall Oliphant, Executive Chairman of New Gold; Robert Gallagher, our President and CEO; and Brian Penny, our CFO will also be available during the Q&A period at the end of the call. Should you wish to follow along with the webcast, please sign-in from our Homepage at www.newgold.com. If you’re participating in the webcast, you can type your questions through the interface at the end of the call. Before Mr. Oliphant provides us with an overview of the results, I would like to direct your attention to our cautionary language related to forward-looking statements found on Slide 3 of the presentation. Today’s commentary includes forward-looking statements relating to New Gold. In this respect, we refer you to our detailed cautionary note regarding forward-looking statements in the presentation. You are cautioned that actual results and future events could differ materially from those expressed or implied in forward-looking statements. Slide 3 provides additional information and should be reviewed. We also refer you to the section entitled Risk Factors in New Gold’s latest MD&A and other filings available on SEDAR, which sets out certain material factors that could cause actual results to differ. In addition, at the conclusion of the presentation there are a number of end notes that provide important information and it should be reviewed in conjunction with the material presented. I will now turn the call over to Randall.
Randall Oliphant: Thanks Hannes, and good morning everyone. Thank you for joining us today to discuss our quarterly results. The first quarter gave our company a very strong start to the year and we look forward to carrying this moment forward. Slide 4 provides a few of the quarterly highlights. During the first quarter, we produced over 90,000 ounces of gold at the lowest costs in our history. We are very proud to have delivered all-in sustaining costs of $674 an ounce, which should position us as an industry leader on this metric. A significant driver of our operational success continues to be New Afton which again set new records. To start 2014, New Afton achieved record quarterly production of both gold and copper. Our strong operational performance translated into equally strong financial results. We generated $81 million of cash flow during the first quarter, which represents a 39% increase over the first quarter of 2013, despite lower gold, silver and copper prices. Another important achievement in the quarter was the successful completion of the Rainy River feasibility study and the filing of the project’s environmental assessment report. I will provide a more detailed update in few moments but in short we continue to be excited about the advancement of this project as the development and environment has become increasingly more favorable than in years passed. We feel well-positioned from a balance sheet perspective. We ended the quarter having increased our cash balance by $24 million to $438 million, while at the same time advancing our priority projects including the New Afton mill expansion, Rainy River and the permitting at Blackwater. Slide 5 provides a summary of the quarterly operating performance at each of our mines. New Afton had another outstanding quarter. The combination of record gold and copper production, lower per ton Canadian dollar operating costs and the depreciation of the Canadian dollar resulted in further decreases in New Afton’s cash costs and in all-in costs. While they look bad on a by-product basis where the copper revenue pays all of the operating costs and sustaining capital, we’re on the co-product basis New Afton’s cost position remains truly unique in our industry. The balance of the operating portfolio also had a solid start to the year, our two open pit heap-leach mines, Mesquite and Cerro San Pedro, performed well and delivered all-in cost below a $1,100 an ounce despite the planned increase in waste stripping earlier in the year. At the same time, through a combination of increased productivity and the depreciation of the Australian dollar, Peak was also able to deliver significantly lower costs than in the same quarter of 2013 despite lower copper by-product revenue. Slide 6 provides a summary of our financial results. Revenue in the first quarter – revenues were only slightly below that of the prior year quarter, despite a $186 decrease in the gold price and a $9 decrease in the silver price and a $0.46 per pound decreased in the copper price. In fact $9 million of the $11 million decrease in the reported revenue is due to quarterly non-cash accounting charge related to our legacy hedge position. We were able to offset the impact of the lower commodity prices by keeping gold sales volumes in line with the prior year quarter and increasing copper sales by 58%. Our operating margin in the quarter remained consistent with the prior year, benefiting from the $8 million decrease in operating expenses. The decrease in operating cost is primarily due to productivity improvements and the depreciation of the Canadian and Australian dollars relative to the US. Continuing with the important theme of maintaining strong financial results despite lower commodity prices, our adjusted earnings also remained in line with the first quarter of 2013. When we reflect on the fundamental earnings generation of New Gold, we focus on adjusted earnings rather than reported earnings which far to be significantly impacted by non-cash accounting related fluctuations, as an example, in the first quarter of 2014 the difference between adjusted and reporting earnings was driven by such items as a $19 million pre-tax loss on foreign exchange and the previously noted non-cash accounting charge that related to the unwinding of our hedge position. Similarly, adjusted net earnings in the first quarter of 2013 removed the impact of a non-cash $23 million pre-tax gain on the mark-to-market of the company’s share purchase warrants and a $6 million pre-tax loss on foreign exchange. The financial metric that we are most proud of is the 39% increase in cash flow when compared to the prior year quarter. Ultimately, this is underpinned by the great work of our operating teams. I congratulate them on this strong performance. The $23 million increase in cash flow versus the prior year was driven by a combination of maintaining consistent cash revenues, an $8 million decrease in operating expenses, a $2 million decrease in administrative and exploration expenses, a $4 million favorable movement in working capital and a $10 million decrease in cash taxes as our most significant cash flow generator, New Afton and Canada benefits from the tax basis that we have built up and this now able to minimize taxes going forward. Slide 7 provides an update on some of our value enhancing growth projects. At New Afton the mill expansion project is well underway. We awarded the vertimill and engaged our EPCM partner. We remain on time with commissioning to the 14,000 ton per day throughput level targeted for mid-2015. Capital budget of $45 million also remains unchanged and today we have committed approximately 35% of this total. Significant progress was also made at Rainy River during the first quarter. We announced the results of our feasibility study on January 16th submitted the final environmental assessment report on January 17th engaged our EPCM partner and begin ordering long lead time equipment late in the quarter. We also furthered our exploration on the few exciting targets. Based on our experience to-date the mind development environment appears to become more and more favorable, whether it is accessed to high quality engineering teams, on the pricing and terms on equipment purchases, we are certainly benefiting from the relative lack of activity in our sector. We feel fortunate to be in a position to take advantage of this as we have been able to lock in pricing on almost all of the open pit mining equipment and over 20% of the process plant equipment. So far pricing is come in at or slightly below the feasibility study estimate. At Blackwater our primary focus continues to be on permitting the associated engineering studies that supporting. I’m pleased to report that our environment assessment report is now very near completion and scheduled to be filed during the second quarter. We also look forward to beginning our regional exploration program this month with a number of exciting targets that have already been identified. Slide 8 provides additional detail on our Rainy River project. We have met all our first quarter objectives and now the teams focus turns to detailed engineering at the same time we remain focused on the permitting effort and building further on the First Nations relationships established prior to our involvement with this project. We continue to anticipate environmental approval late this year or really next at which point we intend to begin construction of the Rainy River project. Commissioning is scheduled for late 2016 with the full year of production anticipated in 2017. We look forward to providing further updates and our continued progress at Rainy River including our exploration efforts through the balance of this year. Slide 9 provides an overview of our near, medium and long-term organic growth profile. As we have already discussed 2014 has off to a good start and we are pleased to reiterate our guidance for the year of 380 to 420,000 ounces of gold. Looking ahead, 2015 and ‘16 should benefit from a combination of New Afton’s mill expansion and Mesquite returning towards a historic run rate production level. In 2016 this will be partially offset by Cerro San Pedro moving towards residual leasing phase. In 2017 our production should increase significantly with Rainy River’s first full year of operation. Looking beyond 2017 as we are previously indicated we will paste the development of Blackwater based on the prevailing market conditions over the coming years. Irrespective of whether commodity prices and market sentiment sit today, we view both Blackwater and our interest in El Morro is being a great strategic value to our company. One needs to look no further than the recent bidding more for Cisco or what the MMG led consortium paid for Las Bambas is evidence of that. Slide 10 highlights New Gold’s targeted cash flow growth and resulting value proposition. We are very proud to delivered steady cash flow growth in each year since our merger with Western Gold fields in 2009 despite the volatility we have seen in commodity prices over this period. Importantly, based on our 2014 guidance commodity price assumptions of $1300 gold and $3.25 copper this is the trend that not only is continuing but accelerating. With targeted increases in production coupled with further reductions in our all-in sustaining costs, the coming years are schedule to provide solid cash flow growth that should leave us well position to internally fund development at Rainy River. Looking at our forecast cash flow in the context of our current enterprise value excluding the consensus the value of our longer term projects also pay into compelling picture. As shareholders are sounds, we believe it is highly unlikely that in 2017 we will trade below four times cash flow, particularly as Blackwater and El Morro will still represent further growth options at that time. Slide 11 provides summary of some of the catalyst we have in front of us this year. After laying out our plans for 2014 at our Investor Day in February, today’s announcement of our first quarter results represents our first formal opportunity to communicate how we have started to deliver against those plans. We are very pleased to announce that we are off to a good start. As promised our costs have continued to come down with record low cost in the first quarter. At the same time, New Afton’s production of gold and copper also continue to rise which contributed significantly to our increase cash flow. Looking ahead in the coming months we plan to provide an update on our exploration efforts at New Afton, Rainy River, and Blackwater. Then towards the end of the year the permitting of both Rainy River and Blackwater should be nearing completion and mill expansion at New Afton should be in full swing. Finally, we feel fortunate to once again we in a position to deliver cash flow growth in 2014 and in to 2015 even at flat commodity prices. In conclusion, slide 12 summarizes New Gold’s five key characteristics. First, our assets are in countries with rich mining history, in particular we are proud to have Canada, home to our biggest cash flow generator in two of our three exciting growth projects. Our board management continued to differentiate New Gold in terms of a breath of experience and personal financial commitment to our company. Our first quarter cost came in at record lows and we are pleased to reiterate both our production and cost guidance for 2014. Our organic growth pipeline of projects have solid base case economics and multiple embedded options that provides avenues to create even further growth. Finally, our path of value creation dating back to the merger in 2009 remains clear that we intend to remain on it by continuing to execute on the plans we have laid out here today. We thank you very much for joining us today and for your continued support of New Gold. Should you have any questions, we would be pleased to answer them now.
Operator:  (Operator Instructions) Your first question comes from Andrew Quail from Goldman Sachs. Your line is open.
Andrew Quail – Goldman Sachs:  Randall, Hannes and team thank you very much for the update and congratulations on a very strong quarter. Couple of questions, first, can you remind us how much money you’re spending on the exploration at New Afton sort of especially the C-Zone?
Robert Gallagher:  Andrew first of all thanks for your compliment. We’re spending about $10 million in the C-Zone in New Afton this year.
Andrew Quail – Goldman Sachs:  Right. Second one is on Rainy, you spent $8 million there in this quarter, obviously this going to ramp up as we head through 2014. Can you sort of give us a bit of timetable, was that second half loaded or is that sort of going to be spread over equally to the next quarters?
Brian Penny: I’ll take that question, Andrew its Brian. Our plan is to spend about $103 million Canadian for the year. It is more loaded to the back half then to the front half, so I would suppose 75% of that numbers in the second half of the year.
Andrew Quail – Goldman Sachs: And just last one on Peak. Do you guys sort of see cost per ton sort of trending down, also sort of obviously coming to second half of the 2014 and even to 2015?
Brian Penny: We’re developing our main our source which is called perseverance primarily horizontally and then working up with. So our cost base is at Peak tower, pretty much inductive of what we’ll get for the rest of the year.
Andrew Quail – Goldman Sachs: Okay. Thanks very much guys.
Operator:  Your next question comes from Rahul Paul from Canaccord Genuity. Your line is open.
Rahul Paul – Canaccord Genuity:  Hi, everyone. At Rainy River you indicated that you have placed orders for some long lead time items. I’m just wondering, with the weakness in the Canadian dollar are you seeing any cost savings?
Robert Gallagher:  Yeah, we are – our total cost in U.S. dollar basis is lower than we had planned at IMs that we loaded so far.
Rahul Paul – Canaccord Genuity: Can you quantify?
Robert Gallagher:  It’s variable but we’re in around the 5 to 10% lower.
Rahul Paul – Canaccord Genuity: Okay, thanks very much, that’s it from me.
Operator:  Your next question comes from Anita Soni from Credit Suisse. Your line is open.
Anita Soni – Credit Suisse: Congratulations on a strong quarter. My question is with regards to both Cerro San Pedro and Mesquite how should we think about recovery rates on the heap-leach, you both had a pretty strong recovery rate dude to the leach cycle. I’m just trying to figure out how Q2 and Q3 would pattern out?
Robert Gallagher:  Yeah. The recovery rates are pretty fixed in constant volume solutions circulating and it picks up pretty consistent quantities or goals. So what you are seeing is representative going forward.
Anita Soni – Credit Suisse:  Cerro San Pedro, sorry, I mean, looking at the – I know that you can’t do this with heap-leaches, but keeping in mind the tons placed in the ounces, the ounces would have been sort of over 100% for this quarter for Cerro San Pedro. So maybe a better question will be what’s your life of mind recovery rate in your term figuring out from there?
Brian Penny: Let’s see, Cerro San Pedro is about 60%, Mesquite is at 75%.
Anita Soni – Credit Suisse: Right and you continue – expect that to continue through stand in Life-of-mine for Cerro San Pedro?
Robert Gallagher: Certainly, those recovery rates are fairly consistent, but probably the biggest variations we’re going to see going forward is that CSP where right now were mining lower grade material and so your initial recovery is lower grades in terms of ounces per month if you will. So what you’ll see is our progresses as we get deeper into our final phase that Cerro San Pedro, the ounce production rate will pick up towards the end of the year and will be much stronger next year.
Anita Soni – Credit Suisse: And then on New Afton you had pretty good strong tonnage through the mill. Could you just remind me what the target is again for year-end are and into 2015?
Robert Gallagher: Yeah, we’re currently – the mill is designed here 11,000 we are going to have mill this year at both 12,500 and with the expansion it’s now in place, that will take us up to 14,000 a day, we’ll complete that expansion in the middle of next year. The other positive aspect of that expansion is not only tonnage, but it’s to enable us to get to our optimum grind that will mean a two and half to 3% increase in recoveries as well, so more tons at better recovery.
Robert Gallagher: All right. Thank you.
Robert Gallagher: Thanks.
Operator:  Your next question comes from Dan Rollins from RBC Capital Markets. Your line is open.
Dan Rollins – RBC Capital Markets:  On our river side, question on what you are seeing on Rainy River, you’ve recently engaged EPCM contractor, usually that is an issue where you are not getting the best teams in the past, just given the amount of billing that’s been happening and then there has been a lot of cost overruns on that side of things. What are you seeing from your negotiations to date with EPCMs and how do you expect those cost to come in?
Robert Gallagher: The EPCM contractors in general are already hungry for work and we arrived with [indiscernible] with what we called their A-Team, the [indiscernible] was involved both in our feasibility studies at Rainy, at Blackwater, they did the engineering procurement at New Afton, we know them well, we know the team and we’ve got the good ones.
Dan Rollins – RBC Capital Markets: And then just obviously yesterday, you had what your local stakeholders has get up and speak at the AGM from the first nations there, obviously they’re onside at Rainy River, how is the permitting process progressing there and has there been any questions come up that need significant work to address?
Robert Gallagher: The comment period of the environment on assessment report closed in February-March provincial and federals. The comments were the normal ones looking for more information on particularly water quality management issues. We’ve responded to most of those now and those responses take the form of ongoing dialogue with the regulators, there is a couple of items under outstanding still but everything really is what you would expect at a project of this magnitude. So, we’re very pleased with the progress.
Dan Rollins – RBC Capital Markets:  That’s great and then just timing on potential final approval of the environmental impact assessments from both the federal and provincial side?
Robert Gallagher: Yeah, we expect that around the end of the year or early next year.
Dan Rollins – RBC Capital Markets: Great, well congrats on the great quarter, guys.
Robert Gallagher: Thanks very much.
Operator:  (Operator Instructions). Your next question comes from Don MacLean from Paradigm Capital. Your line is open.
Don MacLean – Paradigm Capital: Well done on that New Afton cost under $20 Canadian. Is that sustainable, Bob?
Robert Gallagher: Yeah, we’re pretty much in study state down there and the mine now is just a regular work factory and the mill everything is embedded in well, so we’re doing what we think we’re going to stake.
Don MacLean – Paradigm Capital: Good and then on the Rainy River, the feasibility study is out that are there other sayings that you can do to enhance the rate of return on that project, randomly you touched on that you had some interesting exploration targets but is there anything that you can touch on that a bit or what could be done to enhance a rate of return there and also if there’s anything that’s been going on that we haven't heard of that might actually be negatively affecting the rate of return on the project.
Robert Gallagher: Well Don, maybe I’ll start with the last part of your question. We haven't seen anything negatively impacting it. I think that things that will enhance the returns I mean capital cost will probably be less than what we were in the feasibility study because of the movement in the Canadian dollar, the operating cost will probably be less which will enhance the returns, I think what were we looking for is opportunities like to give you something tangible like what’s happened at New Afton where we found new opportunities to expand the milling capacity and for a modest investment there $45 million increased annual cash flow by $30 million those types of options are available to us, but also just finding more ounces of gold and a brand gold district, just like we’ve done with the C-Zone at New Afton where basically we take advantage of all of the sum cost at that point to enhance the returns. So I think today our returns are better than in the feasibility study to Canadian dollars stays where it is or weakens further and that’ll just be that much more enhanced, but I think it's really finding some of the additional gold reserves and particularly if we can find some with the higher grade with that will really increase the cash flow and the returns.
Don MacLean – Paradigm Capital: All right and could you touch on any specific targets or may be Mark talking about any specific targets there that give them hope that could happen?
Brian Penny: Mark can talk about it at length but he’s not with us, Don, I apologize, he has but may be Bob can give you flavorful things.
Robert Gallagher: Yeah, our immediate targets Don are the – to the east are the interrupt zone which is a relatively shallow underground deposit that has a great potential for extension to the south and towards the east and we have drilled on that at this time and then we’ll follow up that immediately to the west to the pit, a good probability of increasing our resources in that direction. So those are the immediate targets at this time now.
Don MacLean – Paradigm Capital: Okay, thanks guys.
Unidentified Company Representative: Thank you.
Operator:  Your next question comes from Steve Parsons from National Bank. Your line is open.
Steve Parsons – National Bank Financial: May be Randall just to your point earlier about the lofty $5.58 billion price tag pay for less on those surely says something about the significant value of over 30% carry no more. On that I mean how’s that deal triggered any thoughts at you’re end to may be try in surface value El Morro sooner than just waiting it out to with Gold Corp?
Randall Oliphant: Well, that’s a good question, Steve. One of the things that’s happened is, as we mentioned in our release is that the environmental permits are now back and forth. I think that all we have to do is normally figure would we sell this, but if we were at what point would we sell it. And we just see a collection of factors happening that will probably enhance the value of that asset over time, namely getting a solution to where you feel the power going to come from getting a decision to build it from Gold Corp. And as we’ve seen mostly as we start to move projects towards generating cash flow just like what happened at New Afton and what we expect will happen at Rainy River, we think that the value of that will just increase overtime. So at this point we’re pretty happy with where we are but the option of doing something with El Morro will remain an option for us and it’s just a question of selecting the optimal time to do something.
Steve Parsons – National Bank Financial: Okay, thank you very much.
Randall Oliphant: Thank you.
Operator:  (Operator Instructions). We have no further questions at this time. I’ll turn the call over to the presenters.
Hannes Portmann: Yeah, as Hannes Portmann speaking. There has been one question who that has come in from the webcast and it’s -- the question is as follows, “With the increased M&A activity that we’ve seen in the space has New Gold or is New Gold concerning any additional acquisitions or prudential debentures of noncore assets?”
Robert Gallagher: Well, I mean, as I think most people know we continuously look at everything that’s out there both what’s in play and what’s not. And frankly we just haven’t found anything compelling we saw Rainy River is compelling in the middle of 2013 when there was 80% off sales on development companies something that fetch strategically with where we were being another Canadian asset and the project that I think we knew as well or better than anybody in the world. We followed what’s been happening in our space, but we feel pretty fortunate that we can take our production to 2.5 or 3 times what it is today just with the projects that we have today and now we’re highly reluctant to particularly at this price to dilute our shareholders when we see such a bright future ahead. So yeah we continue to look at things but we’re going to continue to be highly selective. And I think if we look at our history we tend to do something above once every two years and so we’ve got lot of time in the future to look at do many things, but there is nothing eminent.
Hannes Portmann:  Operator, if there is no further questions I’d like to close by reiterating how pleased we are with strong start we’ve had in 2014, both from an operational and development perspective. We look forward to providing further updates on our exploration and development activities as we move to the summer months. So our next scheduled conference call in relation to our second quarter results is in late July we are always available to answer any questions that you may have. I wish everyone a good start to the summer season and thank you again. We sincerely appreciate you joining us today. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.